Operator: Good morning. Welcome to Vislink's First Quarter 2024 Earnings Conference Call. My name is Marliese, and I will be your operator for today's call. Joining us today for today's presentation are the company's CEO, Mickey Miller; and CFO, Mike Bond, who will report results for the first quarter ended March 31, 2024. A copy of the press release is available on the company's website. Before we begin the call, I would like to provide Vislink's safe harbor statement, which includes cautions regarding forward-looking statements made during this call. Management will make statements during the call that include forward-looking statements within the meaning of the federal securities laws, which are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Any statements contained in this call that are not statements of historical facts should be deemed to be forward-looking statements. All forward-looking statements, including, without limitation, our examination of operating trends and financial expectations are based upon the company's current estimates and various assumptions. These statements involve material risks and uncertainties that could cause actual results or events to materially differ from those anticipated or implied by these forward-looking statements. 
 Accordingly, you should not rely on these statements. For a list of the risks and uncertainties associated with the company's business, please see the company's filings with the Securities and Exchange Commission. Vislink disclaims any intention or obligation, except as required by law, to update or revise any financial projections or forward-looking statements, whether because of new information, future events, or otherwise. This conference call contains time-sensitive information that is accurate only as of the live broadcast this morning, May 15, 2024. And now I would like to turn the call over to the links CEO, Mr. Mickey Miller. Sir, please go ahead. 
Carleton Miller: Thank you, operator, and thank you, everyone, for joining us today. This morning, we filed our 10-K with the SEC and issued a press release that provided our financial results for the first quarter, ended March 31, 2024, along with key business accomplishments. As a brief overview for today's call, I'll start by discussing our first quarter performance and highlighting our progress towards our 3-year financial goals. I'll then pass the call to Mike to discuss our financial results. Afterwards, I'll come back to discuss recent updates within our key target markets, product developments and updates on our go-to-market strategies. 
 With that, let me begin by expressing our enthusiasm about the strides we've made, and our optimism, for Vislink. The first quarter of 2024 has further solidified Vislink's foundation, demonstrating substantial financial and operational gains directly resulting from the strategic initiatives that we implemented 2 years ago to increase operating leverage. In Q1, we achieved a 20% year-over-year revenue increase, reaching $8.6 million. This growth was primarily driven by robust sales to MilGov customers, fueled by the adoption of our AeroLink platform and opportunities opened by the BMS asset acquisition. These factors, combined with increased governmental investment given the current geopolitical landscape, have reinforced our market presence. Our continuous focus on innovation has led to recent product rollouts like Cliq and Livelink. Vislink's newer products are strategically designed to serve the military, government, sports and media sectors. With Cliq and Livelink have been met with strong early interest, and we expect that these higher-margin products will enhance both our top and bottom line financial results as sales ramp up. 
 We are demonstrating continued progress in developing LinkMatrix to fit the needs and preferences of customers in our target market. Our efforts to promote services and integrate our LinkMatrix software into our hardware offerings are proven successful, as demonstrated by service and software revenue growing to represent 16% of total revenue in the first quarter, up from 13% in 2023. Additionally, our Air-to-Anywhere AVDS platform and the introduction of Dragonfly V are poised to drive further growth. We are intensifying our sales and marketing initiatives, which are showing traction, as evidenced by our newer products becoming an increasing part of our total revenue. We anticipate that the products we introduced over the last 2 years will approach nearly 70% of total revenue this year. This strategy not only enhances our value proposition across various use cases, but also unlocks higher-margin revenue channels through our device management ecosystem LinkMatrix. 
 Looking ahead, we are optimistic about our trajectory, as we are working with our largest weighted sales pipeline since the pandemic, valued at $48 million entering the second quarter. Additionally, we are actively engaging in opportunities to leverage our existing solutions to expand our involvement in new markets such as Drone Command and Control or Drone C2. We are invigorated by the momentum we've built and are continuing to ramp up our sales and marketing efforts to support our recent product launches. As we proceed, we are on track to achieve cash flow neutrality by the end of 2024 and our aim to be cash flow positive by 2025. We are continuously evolving our operations, and we are proactively identifying areas for operational enhancements and cost saving measures. These ongoing efforts are crucial as we work to drive further revenue growth and enhance profitability. Before I go further, I'll pass the call over to our CFO, Mike Bond, to provide a detailed overview of our financial results for the first quarter. Mike? 
Michael Bond: Thank you, Mickey, and good morning, everyone. Looking at our financial results for the first quarter. Our total revenue increased to $8.6 million, up from $7.2 million in the prior year period and a sequential increase from $8.1 million in Q4 2023. The increase in revenue was primarily driven by a jump in sales to military and government markets. Gross profit increased to $4.8 million, up from $3.7 million in the prior year period. Gross profit margin for the quarter was 59%, up from 54% in the prior year period. The year-over-year improvement in gross margin reflects greater operating efficiency and a higher mix of software and services revenue. Total expenses were $10.2 million compared to $9.5 million in the prior year period. This change is due to our increased focus on sales and marketing as we push to expand our reach, and support our new product lines. 
 Turning now to our profitability measures. Operating loss improved to $1.6 million, down from a loss of $2.3 million in the prior year period. This improvement is a direct result of our increased revenue and higher margins, demonstrating the effectiveness of our strategic focus on more profitable product categories. Net loss attributable to common shareholders improved to $1 million or $0.39 per share from a loss of $1.8 million or $0.80 per share in the prior year period. This improvement underscores our strategic cost management and ongoing efforts to enhance our operational efficiency. 
 Moving now to our balance sheet. As of March 31, 2024, our cash and short-term investments stood at $13.8 million compared to $14.2 million at December 31, 2023. Improving cash performance remains a top priority for us, and we have shown clear improvements in cash usage in Q1. We maintain a robust working capital of $31.2 million at the end of the first quarter compared to $31.8 million at December 31, 2023. We expect to see continued improvements in our working capital turns in the coming quarters. Our strong balance sheet supports our operational flexibility, enabling us to actively pursue strategic acquisitions and partnerships, especially in the defense and public safety sectors. These moves aim to expand our capabilities and market reach within the MilGov markets. In summary, our efforts over the past 2 years to restructure our cost base, redesign our product line, integrate two key acquisitions and rejuvenate our sales channels have begun to bear fruit, making a significant improvement in our profitability results. As we progress into 2024, these initiatives are expected to further solidify our positive growth trajectory. This concludes my prepared remarks. I'll now turn it back to Mickey. 
Carleton Miller: Thanks, Mike. Returning to operational updates. In our MilGov markets, we continue to show impressive growth, driven largely by the sales momentum of our AeroLink platform solutions. This growth is further propelled by the successful integration of the BMS assets. This quarter, our focus on developing long-term relationships with OEMs is helping to build more predictable revenue streams for the future. Notably, we successfully achieved approved supplier status with three new OEM partners, in addition to our AeroLink platform, our Air-To-Anywear offering and LiveLink introduction, are driving new revenue with MilGov customers. These included a prominent European police department deploying LiveLink to bring live video from the field to help drive more proactive decisions and allocate resources more efficiently. 
 In the live production markets, we've maintained a solid performance with revenue contributions consistent with the prior year period. This stability reflects the continued demand for our products. With events like the Olympics on the horizon, we expect this trend to continue. Our involvement in significant industry events like the A2RL Race series, which attracted 30,000 fans, underscores the potential for future enhancements and broader applications in VR and AR experiences. Turning to product updates. We anticipate that our new products will contribute almost all of our sales in 2026. The A key driver of this growth is our AVDS Air-to-Anywhere platform. This platform will significantly accelerate our software and service sales in the coming years by incorporating advanced analytics capabilities that augment our existing digital solutions. This strategic focus is not just about increasing sales volumes. It's about enriching the quality and functionality of our solutions, ensuring that our technology anticipates market demand. 
 The introduction of Dragonfly V at NAB 2024 represents a key strategic advancement in our product lineup. As Vislink's smallest ever transmitter, it's specifically designed for dynamic environments where mobility and compact size are critical. Dragonfly V excels in live video capture from POV cameras, UAVs and body-worn devices, delivering high-quality, real-time video transmission in a miniature package. Moving forward, our strategy is to harness this technology to enhance sports and media broadcast experiences and integrate into broader applications such as emergency response, surveillance and more. In line with our strategic expansion, we are enhancing our solutions through AI or video processing. This advancement aims to improve the detection and analysis of activities such as crowd control, drug trafficking, and border surveillance. Additionally, in 2023, we secured cloud distribution and storage of footage for our AVDS services, ensuring data accessibility and protection. We continue to prioritize the protection of our customers' data. 
 We're also improving our systems, remote management capabilities, including integrated eSIM provisioning services. These developments leverage our common circuit architecture and component base to enhance system scalability and quality while reducing costs, simplifying the management of our technologies and boosting their efficiency and effectiveness in our operations. As for our go-to-market strategies, we continue to see growth potential across our four focus areas: live video connectivity, video data transport, AVDS, and drone control and communications. In Q1, our efforts have gained considerable traction with new product introductions, driving increased market interest and trial usage. We are heavily focused on demonstrations and trials in Q2 to convert this interest into firm orders. We gained revenue traction in live connectivity and video data transport, our bonded cellular technology plays a key role in a growing market where connected cameras from various venues and vehicles are essential. We are advancing discussions with key OEM participants to understand their future requirements and align with Vislink's technology road map, ensuring that our innovations meet the evolving needs of our market. 
 As I mentioned, we are seeing traction in Drone C2. While this is an emerging market, we expect it to be fast growing in the years ahead. We are having meaningful conversations with key industry leaders, and the feedback from the market and our OEM partners has been overwhelmingly positive, confirming the strong demand and expanding the reach of our technology suite. As we move forward in 2024, our strategy is finally tuned to support the recent advancements and launches in our product line. This significant role of our AVDS Air-to-Anywhere platform will accelerate the growth of our software and service-based revenue streams. This transition aims to improve the functionality and quality of our visual solutions, and align with our goal to increase sales volumes across targeted markets. We remain focused on extending our reach and influence in the MilGov markets. Our strategic efforts are bolstered by a strong sales pipeline, the largest post-pandemic backlog we've experienced, and continuous improvements in operational efficiency. These elements are key as we work to achieve cash flow neutrality by the end of 2024 and aim for positive cash flow in 2025. 
 Looking ahead, we are energized by the positive start to the year and are dedicated to maintaining this momentum. Our solid foundation from Q1 and the ongoing strategic initiatives are poised to drive us toward meeting our ambitious targets for this year and beyond. As we progress, we are consistently refining our business model and are confident we will continue to reduce our cost base. With a clear focus on operational excellence and market expansion, we are well positioned to capitalize on the opportunities ahead and continue driving innovation and value for our stakeholders. Operator, please provide the appropriate instructions. 
Operator: [Operator Instructions] At this time, we will take our first question from Brian Kinstlinger from Alliance Global Partners. 
Brian Kinstlinger: Nice results. I have lots of questions. The first, a financial-related question. As you look at the makeup of your pipeline and backlog, do you think the gross margin is sustainable? Or, I guess, depending on the mix of products and customer set, what is the range of gross margin investors should come to expect over the next year, 1.5 years? 
Carleton Miller: I'll hit on that and then turn it over to Mike for the numbers. But I think when we look at our pipeline, there's 2 key things. One, tailwinds that we see. One is the insatiable demand for live events. I think in the U.S. top 100 shows were live sporting or entertainment events. So that's strong. But then the MilGov piece is an area -- given the political landscape, geopolitical landscape that we all live in, the need for safety and security. So we see a large driver there. So as we see more opportunities in that area that typically is a little bit higher margin area for us. So Mike, maybe you can give some color to that? 
Michael Bond: Yes. And Brian, as we kind of move forward, we're seeing a higher mix of our newer products, as Mickey had mentioned. And so as we kind of exit some of the older products, we're seeing some pretty drastic increases in our margin. So whereas in the old days, some of our older things had high 40s/low 50s margin. Now we're seeing more in the upper 50s to low 60s. So as we can continue to put more of the new products into the mix, we're going to start seeing high 50s/low 60s margin. 
Brian Kinstlinger: Great. That's super helpful. And then can you talk about the upgrade cycle for the DMS customer base? Which I think you talked about last quarter had some older technology. Can you size the opportunity just for that customer set? 
Carleton Miller: Yes. When we look at that customer base, given the challenges that BMS were going through, they weren't in a position to help those customers that upgrade. So what we've done with a lot of the customers is work with them on a transition period. Many of these are designed into platforms, so we are working with the customers to make sure they have the BMS product line to support their needs in the 12- to 18-month period, and then work with them on a transition to a newer product, which will be higher compression, higher throughputs, better video quality. And, therefore, they're able to maintain their needs now and then migrate to newer technology along their product life cycle. So in the context of that opportunity for us, it's basically -- that customer base, which pre-COVID we've mentioned within the $20 million range every single one of those customers will be needing upgrades at some point in time. 
Brian Kinstlinger: Great. And you've highlighted three new products. Obviously, you announced the Dragonfly in a press release recently. Can you quantify the addressable market for these -- for the initial target customers? Are in your existing customers? Are they a brand-new customer? And then lastly -- I know it's a three-part question -- how do we think about average either selling price? Or are they recurring pieces? Maybe take us through the model there? 
Carleton Miller: Yes. So in terms of the new products, and that would include Cliq, LiveLink and Dragonfly V. Those have been all introductions that we've had in the last 9 months. Those are for both existing customers and new customers. So from an existing customer base, what that basically does is that gives our customers the options to have either a proprietary COFDM solutions, or a public or private 5G solution, all connected through LinkMatrix. So the way we look at those products, they are basically a Trojan horse to drive software and services recurring sales. So that -- number one exists with our current customers, but it opens up a lot of new markets and opportunities for us. In fact, on the LiveLink, our first opportunity that we delivered on was around bringing live video from belt-attached LiveLinks to the cloud for a large police group in Europe. And so it now opens up that type of market for us with a very sleek, slim, high-density package size that allows it to be very mobile. Similarly with Cliq and LiveLink we'll see the same type of thing. So it not only supports our existing customers but also broaden the opportunity for our overall plan to drive more software service sales through UIs. 
Brian Kinstlinger: Is there a way to think about either average selling price, or total contract value, for some of these products? Are they relatively small? Are they relatively large? How do I think about that? 
Carleton Miller: Yes. I think the best way to think about it, typically, our order size will include one or multiple types of those products as they need a different demands for their use case. So in the case of a live broadcast, they may have a LiveLink, they may have Cliqs, and they may have a DragonFly or several sets. It's highly dependent upon what the use case is and what they're trying to achieve. And then in public safety, typically, you'll see some uniformity around what they want to deploy because they're basically integrating into their current workflows and operations. So we'll try to standardize around a certain package size. 
Brian Kinstlinger: Okay. And then you talked about increased investment in sales and marketing. Is that people? Is that advertising? Maybe break down what those investments are. 
Carleton Miller: Yes. The #1 is people. We've had additional sales capability. We are kicking off an SEO effort, which will be incremental, and we'll go at that slow, but largely it's people. And we've integrated the overall sales force instance that BMS has had into the overall sales force instance of Vislink. So that increased as well. 
Brian Kinstlinger: Great. Last question I've got is you mentioned three OEMs, I think, if I heard you right, approved you as a supplier, are you able to identify who those OEMs are? 
Carleton Miller: We can't. But we've got -- I can say that two of them are manned aircraft and the others -- and one is unmanned. And I think that's the area that we see a huge potential for us and it is Drone Command and Control. It's an emerging market for us. We see tremendous potential there globally. And it's really taking the technologies that we have around beam forming, bonding, channel bonding and resilient radio, software-defined radios, that allow us to address that particular need in a very efficient way. So we're really excited about that. It's still early in that market. We do have revenues in that market currently today, but we think that could be really a huge upside for us in the future. 
Operator: And this concludes our question-and-answer session. I'd like to turn the call back over to Mickey for some closing remarks. Please go ahead. 
Carleton Miller: Thank you for joining us today, everyone. This quarter marks a significant stride forward in our journey. A testament to the hard work of our team and the strong support from our investors. Our mission to revolutionize video capture and delivery in advanced MilGov markets through innovative technology continues to drive our strategic direction. As we reflect on a successful start to the year, we are energized by the opportunities that lie ahead. With a solid financial foundation and a clear strategic direction, we are confident that we can maintain this momentum and reach new heights. Thank you for your continued trust and support. Operator? 
Operator: Thank you very much for joining us today for Vislink's First Quarter 2020 Conference Call. You may now disconnect, and have a great day.